Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fiscal 2022 Q2 Earnings Conference Call. I would now like to hand the conference over to your speaker today, Tamria Zertuche. You may begin. 
Tamria Zertuche: Thank you, Angie. Welcome to our second quarter fiscal 2022 earnings call. My name is Tamria Zertuche, Chief Operating Officer of Ferrellgas. Before we go over the financial results for the quarter, I would like to discuss a few key points relating to our performance over the last few months. 
 First, I want to say how privileged I am to work with all the employee owners of Ferrellgas. Through the many touch points I have with them on a daily basis, I see firsthand the amazing commitment and hard work that each put in every single day to make this company better. 
 Second, our successful performance this last quarter, despite experiencing warmer temperatures in December, is directly correlated to the amazing execution by our team of over 4,500 employees across the country. 
 We believe in investing in our people. And the results, I believe they speak for themselves. We have continued to build upon our strategic initiative and leverage our successful restructuring from almost a year ago now to perform at this level. I will now turn the floor over to our Controller, Wendel Parks, to go over the financial results for the quarter. Wendel? 
Wendel Parks: Thank you, Tamria. And welcome to our second quarter 2022 earnings call. Thank you all for joining us. I'd like to remind all of you that some of the statements made during this call may be considered forward-looking, and the various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. 
 These factors are discussed in our Form 10-K filed last year and other documents filed from time to time with the Securities and Exchange Commission. Additionally, we note that the purpose of this call is to discuss the results of operations for the second fiscal quarter ended January 31, 2022. 
 For the second quarter of 2022, the company delivered $20.3 million higher operating income, an almost 18% increase versus the same period last year. 
 Overall gallon performance and the company's strategic initiatives contributed to an increase in the second fiscal quarter gross profit of $18.9 million or 7% higher than the prior year period. Operating expenses as a percentage of total revenue were approximately 2% lower than the prior year period. 
 Margin per gallon for the quarter increased by $0.10 or 10% higher than the prior year period. The company continued to realize cost savings through better utilization of assets as it redeployed existing tanks to locations with higher usage, which, in turn, alleviated the need to purchase additional tanks at the current higher market prices. The savings on providing more propane at each delivery was partially offset by overtime costs. 
 For the second fiscal quarter, the company reported net earnings attributable to Ferrellgas Partners, L.P. of $108.4 million compared to $63.3 million in the prior year period, an increase of $45.1 million or 71%. 
 Adjusted EBITDA, a non-GAAP measure, increased by $10.5 million or 7%, to $151.4 million in the second fiscal quarter compared to $140.9 million in the prior year period. I will now turn it over to Tamria to go over some of the operational and company highlights for the last quarter. 
Tamria Zertuche: Thank you, Wendel. Ferrellgas continues to increase its Blue Rhino home delivery service, which now extends to include the Long Island market. This makes the 13th market in 11 different states to offer this very convenient feature, just another way that Ferrellgas continues to Fuel Life Simply. 
 During this past quarter, the company also announced an expansion of its partnership with Operation BBQ Relief, an organization which has served nearly 10 million meals in the United States to communities impacted by natural disasters. 
 The company's nationwide footprint really allows it to help victims and first responders throughout the United States by supplying Operation BBQ Relief with necessary propane to fuel its industrial-sized smokers in addition to Blue Rhino tanks. 
 The company also recognized over 280 employees across the country with the Ferrellgas Flame Award. The Flame Award initiative is a peer-to-peer recognition program that celebrates employee achievement in the areas of customer service, safety, innovation and leadership. 
 The Blue Rhino tank exchange brand of Ferrellgas also announced a partnership with the International Rhino Foundation, it's a global wildlife conservation organization, to raise awareness of rhino conservation efforts around the world. As part of the initiative, Blue Rhino will draw attention to conservation efforts, through both its marketing program and tanks sold at retail locations across the country. 
 In an effort to provide some additional transparency, we are going to address a few questions that we've received over the last few days. One question that we received was really around an update on our plan to take the Class B -- take out the Class Bs, as it was phrased. The answer we have is ultimately that we have a long-term financial plan, which includes the repayment of the units. We continue to really analyze the best solutions in support of a strong capital structure. 
 The next question we received is around our outlook for further M&A. The current economic environment continues to be very suitable for those interested in selling, and we are strategic about acquisitions. Our focus will be on opportunities that leverage our network, our footprint, our high-performing operations teams and that create economies of scale. 
 Another question we received was regarding the rapid increase in propane pricing and how that might impact our working capital. As a reminder, about 70% of our volume allows for pass-through pricing. The other 30% is what we call our Platinum Plus program, which allows customers to lock in on their price. It's one of the best in the business. And while there's some timing impact, there's nothing material to have any meaningful impact on our overall cash position. 
 Those 3 questions really summarize most of the questions received. I'm going to turn the call back over to the moderator now. But before I do that, just want to remind everyone, as mentioned in our announcement for this call, any additional questions may be submitted via our Investor Relations e-mail Inbox at investorrelations@ferrellgas.com. 
 I want to thank you very much for your interest in Ferrellgas. And at this time, I'll turn it back over to you, Angie. 
Operator: At this time, there are no questions. 
Tamria Zertuche: Thank you. Then I think we can -- you can go ahead and close our call, Angie. 
Operator: Thank you for participating in today's conference call. You may now disconnect your lines at this time.